Operator: Good morning, and welcome to the Chart Industries Inc. 2019 First Quarter Conference Call. All lines have been placed on mute to prevent background noise. After the speakers’ remarks, there will be a question and answer session. The Company's supplemental presentation was issued earlier this morning. If you have not received the release, you may access it by visiting Chart's website at www.chartindustries.com. A telephone replay of today's broadcast will be available following the conclusion of the call until Thursday, April 25, 2019. The replay information is contained in the Company's press release. Before we begin, the Company would like to remind you that statements made during this call that are not historical in fact are forward-looking statements. Please refer to the information regarding forward-looking statements and risk factors included in the Company's earnings release and latest filings with the SEC. The Company undertakes no obligation to update publicly or revise any forward-looking statements. I would now like to turn the conference over to Jill Evanko, Chart Industries' CEO.
Jillian Evanko: Thank you, Sherrie, and thank you everyone for joining us to walk through our first quarter 2019 results and outlook. Given the high level of order activity since the first of the year across the business, I will begin by walking through each segment’s order level with specific market trends and significant orders received year-to-date.  As many of you are aware, one of the unique elements of the Chart business is that we are an industrial manufacturing company with a complementary Energy and LNG play. We participate in many aspects of LNG infrastructure not just export terminal builds, but across liquefaction, storage and transport globally. You will hear that theme throughout our comments about the first quarter results as we continue to see strong demand globally for both the Energy & Chemicals and Distribution & Storage products.  As I’ve mentioned over the past six months, one of the exciting things about our business is how much margin opportunity exists within our control to execute. I will discuss the actions completed in Q1 that will generate over $6.5 million of anticipated incremental annualized operating income and how those actions combine with the order activity in the first quarter inclusive of big LNG increase our full year 2019 revenue and adjusted EPS guidance and Jeff Lass, our CFO will provide specifics on the first quarter financial results.  Beginning on Slide 2 of the supplemental deck which was released this morning, total orders for the first quarter were $461 million, an increase of 60% over the first quarter of 2018 and a 69% increase sequentially over the fourth quarter of 2018. That backlog is $733.8 million, 54% higher than the first quarter of 2018 and 29% higher than the fourth quarter of 2018. 
, : E&C orders of $264 million included $135 million for Venture Global’s Calcasieu Pass project as well as a $20 million order for Golar’s next floating LNG vessel Gimi. Additionally, just yesterday we received notice that we won a $30 million for air cooled heat exchangers on another big LNG project with Bechtel at the EPC.  Q1 was a high activity quarter for big LNG with FERC making positive forward moves and several announcements toward FID from the export terminal operators. FERC issued five statements and orders in the first quarter including one approval order and three final environmental statements and already issued two more final EISSs in April.  The last few quarters have seen a highest level of FERC EIS related announcements since liquefaction projects started to be developed in the U.S. nearly ten years ago. I will walk through big LNG specifics, as well as additional 2019 order opportunities on the next slide. But first, many other aspects of each segment had strengthened the first quarter.  As we mentioned on the February call, in the Energy & Chemicals segment, we received an equipment order for $9 million for SABIC’s Saudi Arabian petrochemical plant, a $7 million order for a large customer’s Gulf Coast fractionation train, and an additional $4.4 million order for air cooled heat exchangers. Since that call, we booked an additional $7 million order for a natgas processing equipment in Q1 and already in Q2 we booked a $9.3 million order for an air separation application. One of the pleasant surprises we have had after owning VRV for four months is the amount of interest in our legacy in sea products in places that we previously didn’t have exposure. There is $27 million of E&C quoting activity underway for projects to which we previously did have access either because we did not have a product offer any in the region or because we didn’t have a relationship with the particular customer.  Additionally, we have identified a significant E&P synergy where we will utilize VRV’s integrated solutions of scrubber r columns and internal vessels to replace purchased components in one of the big LNG projects that is included in our expected 2019 order pipeline.  In total, VRV orders in the first quarter were $25.5 million, $12.7 million of the VRV order activity was in the D&S East segment contributing to total orders of $83.2 million, up 20% over the fourth quarter of 2018 or 16% organically.  Strength in LNG systems, trailers and packaged gas continues in the region. With the suspension of tolls for natural gas trucks in 2019 and 2020 in Germany, there is visible strong interest in our quoting pipeline. Specifically, we received our first order for the first LNG fueling station from a customer in Germany in the beginning of April, and there are 16 additional stations planned in Germany between now and the end of 2020. Building upon our new geographic market of India, which was opened up to us through the acquisition of VRV, we announced in mid-March that we signed an MOU with Indian Oil Corporation to work together to develop LNG market in India.  Resulting from the VRV acquisition, we are already bidding on a $11.5 million of LNG and industrial gas-related projects in India and booked $3.9 million in orders in the first quarter for D&S East products including tanks, trailers, microbulk and vaporizers. Distribution & Storage Western Hemisphere orders of $114 million were down 12.6% from the first quarter of 2018, which was the highest order quarter in the history of the D&S West business, yet continued to be strong; by way of comparison, the average order level for the past eight quarters was $112 million for D&S West and included two record quarters both above $126 million.  Sales and order activity for over-the-road trucking LNG fueling systems continues to increase, with sales of $17.7 million, up 68% from the first quarter of 2018, and a 63% increase over the fourth quarter of 2018.  We are excited to announce that in the quarter, we have successfully negotiated sole source long-term agreements with two of our key over the road trucking customers. Both agreements have multiple year durations and double-digit growth anticipated in each year.  While these customers are in the Eastern Hemisphere, we currently produce the units in Georgia and therefore the results are reported through our E&S West segment.  In D&S West, approximately 40% of revenue relates to our traditional industrial gas customers which are mainly on long-term agreements of bearing links. We are pleased to continue to offer innovative solutions to these core strategic customers and in so doing are able to extend the agreements.  Specifically, we signed a master set of terms and conditions with one of our key industrial gas customers to govern our global activity and extended another industrial gas customer for two additional years.  Also in the quarter, we received our first order totaling g $850,000 for a liquid hydrogen vehicle fueling station for passenger cars in California. Hydrogen is an area of fast growth and is part of our specialty markets focus in D&S West. Hydrogen as a fuel is being used primarily in on-road light-duty vehicles called fuel cell electric vehicles or FCEVs.  While hydrogen fueling stations exist elsewhere in the world and many of those supplied by liquid hydrogen utilize our ball tanks, it is certainly new in California. The state is pushing to become a carbon neutral economy by 2025 and under an executive order has set a development target of 200 stations to be completed by 2025.  The state is supporting the development of the fueling station infrastructure through a series of California Energy Commission grant funding opportunities. 25 stations are funded and are in the process of being permitted, installed and commissioned and out of those 25, at least eight are expected to be liquid stations.  Lastly, and with positive impacts for the entire business of the last week’s news that President Trump signed executive orders to speed up oil and gas projects including pushing the Federal Railroad Administration to alter rules to allow the shipment of liquefied natural gas by rail. Not only do these executive orders benefit existing aspects of our business, they would further support our small-scale LNG efforts.  Shipment of LNG by rail in the United States has been a topic for many years, and we are prepared to move quickly to take advantage of such a regulatory change. Specifically, we have equipment immediately available for this application which would be sold under our trademarked GBR Gas By Rail brand.  We currently have two active proposals for liquid ethylene railcars with 2014 being the last time we built and sold these cars. We also believe the railcars will create demand for pump-based loading and unloading skids and stationery storage tanks at delivery points.  Now moving to our perspective on big LNG for 2019 on Slide 3. This slide evolved as we learned more information. I will reiterate that while we focus to list to ten specific projects, this does not mean that because the project that was on a previously shared slide isn’t shown that we won’t have content.  As I mentioned earlier on the call, we booked the Venture Global’s Calcasieu Pass cold box and associated heat exchanger order for a $135 million which is shown in row one of the slide. This comes on the heels of Venture Global’s full sight approval by FERC in the first quarter. We are ready to begin production for this order which is expected to begin imminently in our Wisconsin and Louisiana facilities.  We continue to execute on our ramp up plan to support all the projects for which we anticipate content in 2019 or 2020 orders. In the first quarter, Venture Global also announced their expansion with BHGE, the system which includes our cold boxes to 60 million tons per annum which would be inclusive of the Plaquemines project, we anticipate Plaquemines will receive FERC approval in the third quarter of this year for 20 million tons per annum.  In the first quarter, we booked a $20.3 million equipment order for Golar’s Gimi floating LNG vessel which is very similar to our previously provided equipment for the Hilli, the FLNG vessel that has been successfully operating since May of 2018. We expect this revenue to be partially recognized in 2019 and partially in 2020. On Tuesday, we received full and final notice to proceed on the Gimi project.  We anticipate the 2019 revenue portion of these projects to be in the range of $20 million to $30 million, which is included in the updated guidance and assumes current project timing. The third project on Slide 3 is Tellurian’s Driftwood, which in January received the final environmental report from FERC.  Additionally, at LNG Shanghai in April, Tellurian announced the heads of agreement with Total enhancing their existing relationship both from an equity investment and offtake agreement perspective. In February, a Driftwood MOU was signed with India’s Petronet. Tellurian expects to receive the final FERC order and final investment decision in 2019 and we would expect a notice to proceed on our equipment and IPSMR process technology for the first phase subsequent to that likely in the third quarter of 2019.  First phase is now expected to be 16.6 million tons per annum, compared to the previously assumed 11 million tons per annum. Our content for the first phase of 16.6 and TPA would be IPSMR and equipment orders totaling over $400 million. We continue to expect Cheniere's Corpus Christi stage III project to move forward in the first quarter of 2020, if not sooner.  As a reminder, this project, shown in row 5 of the table will utilize our IPSMR process technology as well as our equipment. As I mentioned earlier on the call, this week we were notified of a $30 order award for air cooled heat exchangers on another project which is not listed on this slide but is well underway. We are working with Bechtel on project timing and therefore this is not included in our updated guidance.  While we do not show Jordan Cove on the slide, the project received their draft environmental statement from FERC on March 29th. If this project moves forward, we expect E&C brazed and air cooled heat exchanger equipment content.  I mentioned the positive momentum for our products that would result from the President’s recent executive orders one of these being small-scale LNG, of which some of these projects are within rows 7, 8 and 10 on this slide. In the past six months, there has been increasing activity in small-scale LNG namely New Fortresses Pennsylvania project and Philadelphia Gas Works Council approval for their utility LNG facility in Passyunk.  Just this past Friday, Eagle LNG Partners received their positive final environmental statement from FERC for their small-scale project in Florida to liquefy natural gas for use as the marine fuel and for export primarily to the Caribbean. We anticipate content on all three projects including the use of our technology for some mentioned herein along with the use of our equipment.  We are strong supporters of the small-scale LNG market as it serves the gas-to-fuel customer versus the mid-scale and base load export projects. By way of background, we have worked on small-scale terminals for years including Stabilis, George West Texas LNG production facility with liquefaction capacity of over 100,000 gallons per day.  The facility has our nitrogen cycle process technology, pre-treatment, heat exchangers, cold boxes, truck loading, vac injected pipes and storage tanks. Given the first quarter activity on export terminal projects, we are increasing our 2019 order potential for big LNG from our previously stated $400 million to $500 million to $600 million to $800 million.  It’s the beauty of our business is that we not only serve a broader LNG spectrum from liquefaction to storage to transport globally, we also have more margin expansion opportunities that are within our control. In 2018, we restructured the business which resulted in $2.6 million of annualized savings, included in our prior 2019 guide.  We continue to pursue the 80-20 process opportunities, in particularly in D&S and previously announced on our February call that we have included over $4 million of savings from our sourcing activities and price increases. Subsequent to that, in the first quarter of 2019, we executed on actions that will result in incremental annualized savings of $6.5 million, of which $3.6 million will be immediately seen in 2019 as shown on Slide 4. These actions included: we announced the consolidation from four facilities to one facility in our E&C air cooled heat exchanger business in Tulsa, Oklahoma.  While this will take us the better part of 2019 and therefore the cost savings will not be seen until 2020, it will result in over $1.5 million of hard savings, not including any benefits from reducing transport between facilities and other soft cost.  We continue to streamline back-office and consolidate duplicate positions including absorbing our E&C lifecycle business back into the OEM operations which not only reduces unnecessary overheads, it also allows us to better service our energy customers who brought this direct feedback point to our attention over the past six months.  The corporate team has spent the past couple of quarters assessing outsource providers taking vendors out for bid and gaining immediate cost savings in many cases without having to switch providers.  Lastly, while not previously announced, the product line rationalization that occurred in the first quarter was for pieces of our brazed aluminum heat exchanger business that had been produced in China. This was a trial begun five years ago and in that span of time, the business lost at least $1.5 million each year. The capabilities exist in other E&C North American facilities and therefore we completed the last order in Q1 and have closed this line.  It is not a mistake that this is shown in the D&S East row on this slide as it was cost borne by D&S East through 2017, 2018 and Q1 2019 as the Changzhou China facility is run by and reported through Distribution & Storage. With the closure of this E&C line, all of the activities in our China facility appropriately report through D&S East.  The cost in the quarter associated with these actions totaled $7.4 million with $5.5 million in cost of goods sold and $1.9 million in SG&A. Jeff will walk through the EPS impacts shortly.  I commented that some of our actions come as a direct result of customer feedback. We’ve been asked more and more frequently to participate in customer and supplier partnerships to create innovative solutions and full-service offerings. As part of this, we continue to innovate and develop first to market new products, two of which I will highlight today, one in E&C and one in D&S West as shown on Slide 5. In E&C, we introduced Tuf-Lite 4, a highly efficient axial flow fan to the market in January. The Tuf-Lite 4 offers a wider speed range application and high efficiency in extreme environments, in particular, cooling tower and air cooled condenser markets. It is engineered for lower noise applications and brings the following benefits to our customers; blade count reduction between two and six for fans operating between certain tip speeds, a reduction in overall sound power levels, between 2% and 5% total efficiency improvement and between 700 and 2500 pounds in weight reduction in certain applications.  We booked our first Tuf-Lite 4 order in January and it will be delivered in May of this year. This product is another positive to our fans offering which is higher than traditional E&C gross margins, quicker book-to-bill than the larger project space and has a 40% aftermarket component.  Additionally, this broadens our addressable market for fans including small-scale LNG, assemblies and retrofits. We will continue to build upon our strong air cooled heat exchanger and fan business.  As we discussed on our February call, specialty markets in D&S West are high growth products in high growth markets. Specific applications in our specialty markets are food and beverage, cannabis, lasers, hydrogen and space exploration.  In the first quarter, we booked two space-related orders totaling $4.8 million. We continue to see inbound inquiries and demand from both distributors, as well as direct to cannabis customers for our super critical CO2 tank as well as dosers for packaging. We are now developing the CO2 trifecta, a new product which will launch in the second half of 2019 to serve an unmet need from our cannabis customer base.  The trifecta will be able to deliver a continuous flow of CO2 in either liquid or gaseous forms at pressures up to 850 PSI. This allows customers to add significant capacity with an economical solution. Currently, if more capacity is needed, racks of bottles are manifolded together. The challenge is that these cylinders have to be filled by weight which makes it difficult to refill, so generally they are swapped out. But the customer wants and the trifecta will give them are the following features; high pressure liquid CO2 to feed the extractor pumps, bulk solutions, so they don’t have to use high pressure bottles, and a solution that doesn’t require pumps and is low maintenance. While specialty markets are currently just under 10% of our total revenue with continued innovation and further North American legalization of cannabis, we expect this aspect of D&S West business to grow over 10% in each of the next three years.  Therefore, with the first quarter in line with our expectations from our prior guide and putting all of the pieces together, the addition of Calcasieu Pass, Golar’s Gimi, additional product innovation and self-helm margin actions, we are increasing our full year 2019 guidance as shown on Slide 6, 7, and 8. Slide 6 shows our increased revenue guidance of $1.29 billion to $1.34 billion, up from prior guidance of $1.26 billion to $1.31 billion.  The increase is driven by the expected 2019 revenue recognition from the Calcasieu Pass and Gimi projects. We received full notice to proceed for Gimi this week and we expect the notice to proceed on Calcasieu Pass imminently. We have included conservative estimate of margins that will be recognized in 2019 associated with these projects which can be seen on Slide 7.  Note that our guidance does not include the $30 million order for another project won this week as we are working with Bechtel on project timing. Our increased full year adjusted earnings per diluted share guidance is expected to be in the range of $2.70 to $3.05 per share on approximately 32.5 million weighted average shares outstanding. This excludes any one-time costs and reflects currently expected project timing.  In addition, the guidance takes into account integration timing of certain synergies at VRV. The first full quarter of VRV was in line with our expectation of orders, revenue and cost synergy work. The combination of the businesses has yielded market opportunities such as India and cross-selling synergies in both E&C and D&S East. As anticipated, the VRV first quarter of 2019 was at an operating margin loss as we moved low margin backlog out to be replaced by higher margin work with new pricing and teams execute on identified cost synergies. The cost synergies include but are not limited to production floor layouts, facility and product rationalization and overlapping back office costs.  Specifically, we have already exited one leased facility in France and will be complete with exiting an outsourced contract manufacturing arrangement in Italy in May. There are other rationalization and production location movements which will take until the second half to complete. We anticipate the synergies to begin to be reflected in the second half of 2019.  Slide 8 summarizes our increased guidance. I will now turn the call over to Jeff, who will take you through Q1’s specific financial results and end with a reiteration of the increase to our full year 2019 guidance. 
Jeffrey Lass: Thanks, Jill. Turning to Slide 9, let’s walk through the first quarter sales, margin and EPS. First quarter sales of $289.3 million, an 18.5% increase or 9.5% organic increase over the first quarter of 2018 reflected our strong December ending backlog position and our first quarter order activity that Jill spoke about. Sales in all segments grew organically over the first quarter of 2018.  Additionally, while our first quarter is generally our lowest quarter of the year seasonally, first quarter 2019 sales declined sequentially from the fourth quarter of 2018 by only 0.3% or 3.2% organically. The past three years sequential sales declined from the fourth quarter to the first quarter were 9.4%, 6% and 26%.  First quarter 2019 gross margin as a percent of sales was 23.2%. Adjusted for one-time cost recognized in cost of goods sold in the first quarter, gross margin as a percent of sales would have been 26.4%. This compares to actual gross margin as a percent of sales in the fourth quarter of 2018 of 25.5%, or 26.1% excluding one-time costs.  We expect the benefits of our restructuring actions as well as our ongoing sourcing and pricing impacts to improve gross margin as a percent of sales throughout the year.  SG&A of $55.3 million included $1.9 million of restructuring-related costs and is in line with our previously guided figures. As is typical each year, stock compensation expense is higher in the first quarter than it will be for the rest of the year. First quarter stock comp expense was $2.4 million, subsequent 2019 quarters will have lower SG&A than we saw in Q1. Net income for the first quarter of 2019 of $0.9 million resulted in reported earnings per share of $0.03, and included $8.9 million of restructuring and transaction-related cost or $0.23 of EPS as shown in row one on the table on Slide 9.  Also included in reported EPS are $3.9 million of VRV associated integration and employee step up costs or $0.09 of EPS shown on row 2 and $1 million of other one-time costs or $0.04 of EPS. Adjusted EPS of $0.39 is more than double the first quarter of 2018 adjusted EPS of $0.18.  Slide 10 reiterates our increased full year guidance as Jill previously discussed. As mentioned, this includes the expected revenue impacts associated with the 2019 portion of Calcasieu Pass and Gimi which are subject to project timing but does not include the $30 million order we won this week. Our forecasted tax rate guidance range remains at 22% to 23%.  Lastly, our capital expenditure outlook remains unchanged at $35 million to $40 million and I can now confirm that we will be proceeding with the LNG fueling systems line build out in our Italian production facility given the first quarter committed long-term agreements with two key customers.  I will now turn it over to Sherrie to open it up for questions. 
Operator: [Operator Instructions] Our first question comes from James West with Evercore ISI. 
James West: Hey, good morning, Jill. Good morning, Jeff. 
Jillian Evanko: Hey, Jim.
Jeffrey Lass: Good morning. 
James West: So, Jill, curious on the larger scale LNG projects. There is clearly been some rush to FID here for a number of these project, but there has been some weakness in and of course the LNG market as I am sure you are aware in terms of pricing. Has this changed any of the dynamics in the conversations that you are having with customers? And I know, these are projects that the build out cycle is two, three years. So it’s short-term pricing trends little matter, but just want to make sure that everything is good to go here. And then, if so, is that rush to FID is still the case? 
Jillian Evanko: Absolutely. So, let me take the second piece of the question first. The rush to FID is certainly still the case. We are actually seeing much more activity even in late Q1, early Q2 than we did in late Q4 early Q1. So certainly the market dynamic of a certain amount of million tons per annum that’s required is driving these operators to move very quickly and I think you’ve seen that with the LNG 19 announcements across the board. We are certainly not seeing slowdown from any of the pricing in the market and probably just anecdotally for you, these projects are, as you said are multi-year and they’ve already been multi-year for suppliers like us in terms of working with the operators in the EPCs on pre-feed work and FERC filing et cetera. So we have also been asked to reprice our portion on certain projects and are coming out right in line with where we expected given some of the material cost changes et cetera, but no change from our perspective to the margin opportunities and the revenue side that exists for us and I would end the answer to your question with the comment around Tellurian Driftwood project which the move to 16.6 MTPA for Phase 1 is a significant boost to what we expect from our 2019 order pipeline. 
James West: Got it. Okay, that’s great to hear. And then, on the other side of things, on the M&A front, obviously, VRV, a big transaction, nice transaction for you guys. But I know, just knowing you Jill, you are not rested on your Laurel. So I suspect you are engaging in other opportunities. Are there more tuck-ins or opportunities out there that could come to fruition in the next, call it, couple quarters?
Jillian Evanko: Absolutely. So, we are – we have always said that we will use our cash and our balance sheet to invest both organically and inorganically. And we talked about the opportunities on the repair and service side, as well as on some of the E&C opportunities that exist. While we are focused on integration, you can only stick timing on some of these deals. And we would continue to pursue some of the opportunities that are highly strategic to us. And I think just as a general comment in the energy space, you are seeing Chevron Anadarko is a great example and I think there is many strategic opportunities that could happen very quickly here in the industry as a whole and certainly, we won’t look to wake up one morning and read about a strategic deal that could have been important to us. So we are trying to stay ahead of that from generating opportunities in our pipeline. 
James West: Okay, perfect. Thanks, Jill. 
Jillian Evanko: Thank you.
Operator: Thank you. Our next question comes from Walter Liptak with Seaport Global. 
Walter Liptak : Hi, thanks. Good morning, Jill and Jeff. 
Jillian Evanko: Good morning, Walt. 
Jeffrey Lass: Good morning.
Walter Liptak : I wanted to ask about the guidance for this year. Obviously, some nice things going on there with $20 million to $30 million from the Venture Global and the Gimi project. But I wondered about the all-in number that’s there like. Now if you are figuring out the margins for Venture Global and other projects, what kind of margins should we be assuming on those?
Jillian Evanko: Yes, obviously from a competitive standpoint, we don’t share project-specific margins. But you can look at big LNG project margins at kind of between 33% and 40% depending on the content, the size, et cetera from a gross margin as a percent of sales perspective. Some of that depends on the timing with which deliveries happen and so on. Hence, why we repeated four or five times in our comments that it’s subject to project timing. So, my statement of the conservative estimate on margins takes the projects that we’ve included, our estimated 2019 portion that we’ve guided to add about 25% operating income drop-through. 
Walter Liptak : Okay, got it. And in the 2019 EPS number, it sounds like there is some nice 80-20 coming through. But it also sounds like there is some big opportunity with purchasing. Is that in the 2019 guidance? 
Jillian Evanko: There is a part of both of those numbers in our guide. But there is incrementally more that are not included in the guide, which we are continuing to go after. And I think, everyone just take the elephant in the room off the table here. Everyone understands our philosophy on guidance is to put guide out there that we can achieve handily. And we look to do that and continue to do that and then continue to take margins from the opportunities that we’ve talked about. 
Walter Liptak : Okay, great. So just to be clear, that $4 million in procurement savings, the timing of that is part of 2019 and part of 2020? 
Jillian Evanko: Yes, so the $4 million that we’ve included in 2019 is sourcing and pricing together. And if you took what we expect from an annualized perspective from sourcing and pricing, that’s currently well underway. You can double that number. 
Walter Liptak : Okay, great. Okay, all right. Thank you very much. 
Jillian Evanko: Thank you.
Operator: Thank you. Our next question comes from Martin Malloy with Johnson Rice. 
Martin Malloy : Congratulations on the orders. Good morning. 
Jillian Evanko: Good morning, Marty.
Martin Malloy : I just wanted to follow-up along the lines of the margin question. Can you maybe give us an update segment-by-segment in terms of where you are looking to get to in terms of gross profit margins and maybe, timing?
Jeffrey Lass: Sure. So for the full year, our total gross margin, we continue to guide sort of in the 25% to 30% range for the full company and that breaks down by segments, E&C is in the mid-20s, 24%, 25%. D&S West is mid-30s, and D&S East all in is sort of low-20s for the full year. 
Martin Malloy : Okay, great. And then, with respect to the long-term agreements that you signed with the two key LNG fueling system customers. If my memory serves me correctly, that market was pretty tight in terms of manufacturing capacity. Could you maybe talk about the importance of these long-term agreements and what it might allow you to do on the manufacturing side?
Jillian Evanko: Absolutely. So, as you know, there is a big move, especially in Europe for these trucking customers to move to LNG fueled trucks. What we are seeing is a breadth of customers. If you asked this six months ago, we would have said, one or two customers are really moving in this direction and now we are seeing more than a handful that are talking about going there and actually starting to build LNG fueling systems. We anticipate that the size of this opportunity is much bigger than we had originally sized it at and I think across and you could safely say across the next four, six years, you are looking at $500 million easily will build, of which we would have the significant subset of given these long-term agreements. The manufacturing capacity standpoint, one of the reasons that we are building out another line in Italy is given our expected size and volumes across the next four to six years for these European customers. We are also seeing opportunities for these tanks on other vehicles in India in particular. So, with respect to the MOU we signed with IOCL, there is also LNG opportunity for over-the-road truck for some of the larger trucking suppliers that are in India and we are starting to see interest there. So the capacity build out this year will be critical for the next period of time given the long-term agreements that we’ve executed. 
Martin Malloy : Great. Thank you. 
Operator: Thank you. Our next question comes from Rob Brown with Lake Street Capital.
Robert Brown : Good morning. Thanks for taking my question. 
Jillian Evanko: Hi, Rob. 
Jeffrey Lass: Good morning. 
Robert Brown : Thinking about the European opportunity, you also talked about station build out. I think you said you’ve got an order for one or more in Germany and other 15 or so. What’s sort of the selling price of revenue per station you can get and what’s the opportunity on the station side?
Jillian Evanko: Yes, so there is multiple different types of stations and you can have fueling stations that go from the bunkering side which are 5 million euros to 35 million euros of content – of short content per project. We think that that’s one to two projects a year with the first order opportunity coming in Q4 of this year, which would result in one build in 2020. But these smaller stations which in particular are for the NGL toll avoidance in Germany range from 1 million to 2.5 million of content for us per station. I think that you will see probably three to five a year would be my estimate given the 2019 and 2020 suspension. 
Robert Brown : Okay, great. And then, maybe switching to large LNG projects, I know you gave some color on 2019. How do you see the split of projects signed kind of going into 2020 and 2021 maybe on a percent of order or some basis like that?
Jillian Evanko: So, just – Rob, just to clarify, are you asking in a way the order – I think the orders will flow or the revenue associated with the order?
Robert Brown : Yes, I was referring at the revenue. If you get an order this year, how does the revenue flow through?
Jillian Evanko: Yes, so the majority of the revenue will be in 2020 and 2021 for the orders that come in this year. Just by way of example, I mentioned that we are still sorting through the timing on the $30 million air cooled award that we got yesterday, that would be $4 million or $5 million of revenue in 2019 with the brunt of it in 2020. If we were to get a Driftwood in the third quarter, you would have just a couple million dollars recognized in 2019 and then subsequent to that would be another 2.5 years from there. So you can handily say, that is a small percent in 2019 and then a very big ramp in 2020, 2021 in assuming the timing, kind of between now and Q3, then it would ramp down in 2022. 
Robert Brown : Okay, thank you. I will turn it over. 
Jillian Evanko: Thanks, Rob.
Operator: Thank you. Our next question comes from Tom Hayes with Northcoast Research. 
Thomas Hayes: Hi, good morning. Congratulations on the quarter. 
Jillian Evanko: Hi, Tom. Thank you. 
Thomas Hayes: I was just wondering, maybe you could elaborate a little bit more on the agreements you signed with your key industrial gas customers, especially you called out, I guess, governing global activity? 
Jillian Evanko: Yes. So, obviously, we are unable to comment on the specific customers themselves. But you guys understand who the majors are in this basis. The one particular customer that we signed the agreement to govern global activity, that’s a pretty big move. Historically, the purchasing would happen in the independent regions while governed by a corporate structure. The negotiations on agreements would happen regionally through the purchasing locations, which can take a lot of time as you are working on each individual agreement. So this expedites the way that we can move forward with each region and how quickly we get new orders on the long-term agreements coming through for us. So, that’s a big move. It’s something that we had never had before and we are very excited about that. And then the second agreement that I mentioned that we extended two years, that’s a very large player as well and that allows us to fulfill their needs, work with them on innovative solutions that they’ve asked us to work with them on without having to spend six or nine months in a renegotiation and a lot of the legal back and forth. So, it’s expedites volume. It allows us to add opportunities that we didn’t have before and takes a lot of back and forth off the table. So, any time we comment on an extension or a new long-term agreement, those are very, very positive when it comes to the industrial gas guys. 
Thomas Hayes: Great. Then a just quick follow-up on VRV. You mentioned in your release that they had an operating margin loss for the quarter as the low margin backlog projects look through. Maybe just kind of broadly speaking, how many more quarters, do you think we have is kind of working to that low margin backlog kind of get into the higher margin projects?
Jillian Evanko: I think you have a full another quarter. So, Q2, we expect that to be the case and then, Q3, Q4, we expect that to be fairly well flushed out at that point. So the second half you will see synergies and you’ll see higher margins flow through out of the backlog.
Thomas Hayes: Great. Thank you. 
Jillian Evanko: Thanks. 
Operator: Thank you. Our next question comes from Matthew Trusz with G. Research. 
Matthew Trusz : Good morning. Thank you for taking my question. 
Jillian Evanko: Hi, Matt. 
Matthew Trusz : Jill, with increasing your order – potential order outlook for big LNG in 2019. 
Jillian Evanko: Some knowledge that we have as a business which we are unable to share, but that we would anticipate, it might accelerate certain projects that we previously thought would be in 2020 potentially into late 2019.
Matthew Trusz : Great. Thank you. And then, just to follow-up on the food, space and cannabis discussion. Can you frame what you see as your total addressable market here compared to the revenue and growth numbers currently stand? Thanks. 
Jillian Evanko: Yes, absolutely. So, you have to really take this by each of the pieces of specialty markets in order to address the total. But the magnitude of this is very significant and cannabis alone, we gave some numbers on the February call about the size of the market there. We don’t see a lot of early competitive activity in that market and as we continue to be first to market with new products, we think that, the size of that is in the hundreds of millions of dollars space. On the space exploration side, that’s a smaller addressable market. Just given that its fewer players and obviously the application itself doesn’t happen as frequently. So, that’s kind of in that $50 million to $75 million of addressable market, we are getting kind of $12 million to $20 million a year on an annual basis is significant to us and that’s where I would see that particular piece of specialty markets continuing. Food and beverage is a multi hundreds of millions of dollar market opportunity for us. Lots of different applications for our tanks as well as the doser side of the business. And then, I did commented on hydrogen, which is certainly up and coming. It’s been around the edges for a long period of time. But between cannabis and hydrogen, those markets we are getting an exceptional number of inbound inquiries. Certainly, locking in a lot of our slot production on the hydrogen side and a lots of different applications, not just for the passenger vehicles that I talked about today. But across the board, globally, for various different hydrogen applications. So that market it is another hundreds of millions of dollars of market. So there is a lot to go after there and I would say, across the specialty market space that, for the most part, we are not taking share from someone else. Their share of the market to go and get on our own. 
Matthew Trusz : Good to hear the color. Thank you.
Jillian Evanko: Thanks, Matt.
Operator: Thank you. Our next question comes from Eric Stine with Craig-Hallum. 
Eric Stine: Hi, Jill. Hi, Jeff. 
Jillian Evanko: Hey, Eric. 
Jeffrey Lass: Hey, Eric. 
Eric Stine: Hey, just wondering if we can just go back to India, given the agreement with IOCL. I know a lot of the oil majors are making noise along with OEMs around a pretty sizable infrastructure build out. So just, maybe talk about the opportunity that you see there and then beyond IOCL, just curious, what type of interest you are seeing from the other large players Petronet and GAIL, I guess, specifically?
Jillian Evanko: Yes. So, we signed that agreement – first of all it is not an exclusive agreement and we did that purposeful because of your comment there around Petronet and GAIL and the other opportunities. But IOCL amongst the other major players in India certainly see a lot of LNG infrastructure build out opportunities anywhere from – you got regas stations to over-the-road trucking, like I commented on. So there is a significant amount of infrastructure build that has to happen. India is different than China, it has been in terms of how they intend to build out the infrastructure. So growing the LNG market and being a key participant in that from an equipment standpoint was the key reason that we chose to partner up with IOCL and work to build that market out. Since the announcement of our MOU to work together with them and this is primarily on the D&S side of our products category that we are seeing in the interest. We’ve had both of the parties that you mentioned along with two or three others that have come to us and also asked us to work with them around building the market out and having some tanks and trailer offerings. Right now, there is – I mentioned about $11.5 million of bidding activity that we have currently in hand which we expect that we will be able to lock down fairly quickly here. There is multiple other tenders that we are aware of that we don’t include in that number just given the fact that we wait until we actually have that RFQ in house. But I would expect this opportunity is, again, in the hundreds of millions of dollars for the market and for us growing very quickly in the next two years. I think you will also see as these offtakers start signing agreements with Tellurian’s comment on Petronet and some of the other folks that have offtake agreements into India, there will be a forced infrastructure build versus just a casual, hey, we are going to need it at some point, because you got to get the gas in somehow. 
Eric Stein: Yes, got it. Very helpful. Maybe last one from me. Just on the pipeline, the $600 million to $800 million. I assume that that does not include at least in the past, I don’t think you’ve included the air cooled heat exchange or potential content. So, maybe if you could just talk about what that could look like how that matches up with the list that you provided in every deck?
Jillian Evanko: Yes, I mean, the order I just commented on today, the $30 million air cooled order we were awarded yesterday from Bechtel, that’s a great example of a content we would not have had without the Hudson products business in part of the Chart family. Those are – that’s a project that’s been well underway that we didn’t have content on previously and we are able to get content given that product offering that we have. Generally speaking, what we are seeing is, on the total equipment content for us, air cooleds are adding somewhere between kind of 7% to 9% of additional content. So if you said, a $500 million order at air cooled, you could say between $35 million and $45 million more for air cooled. Well, and I don’t want to mislead anyone to say it’s a walk that the air cooleds are Chart content. But certainly, we have a good shot at some of these projects for air cooled that we wouldn’t have had two years ago. 
Eric Stine: Got it. Thanks a lot. 
Jillian Evanko: Thanks. 
Operator: Thank you. Our next question comes from Pavel Molchanov with Raymond James. 
Pavel Molchanov: Thanks for taking the question. This kind of goes back to, I think what we talked about just a few minutes ago, which is, this week, the order that you won from the unnamed LNG project is only heat exchangers. By contrast, Calcasieu Pass is a more integrated solution with cold boxes. What determines for any given project whether the customer will want an integrated solution from Chart versus purely components?
Jillian Evanko: It really comes down to what point in the project the customer is and how far along. So, some of these projects have been baked – for example long before, we ever had IPSMR as a process technology offering or even in the case of air cooled, long before we had an air cooled heat exchanger for the LNG market which really came through Hudson. So, where you see air cooled content by itself, it generally is the result of a project being further along as well as a different type of heat exchanger in the actual content heat exchanger cold box combination, meaning from a different supplier. What we are seeing this time around on the mid-scale projects and certainly you can see that on the slide that we presented today of the ten projects, we are seeing much, much more on the integrated solution side, where the customer or the operator actually is asking for the braze, the cold box, and the air cooled. And then the differentiation point is really whether they are just wanting to integrate the equipment solution or they want the equipment plus the process technology. So, that’s become much more of the dividing lines is whether it’s the technology plus equipment or just the equipment suite together. 
Pavel Molchanov: Okay. And, obviously, kind of setting aside the higher revenue number from the integrated sales that you may have, is there a difference in the percentage gross margins in structure in terms of pure heat exchanger sales versus the cold box?
Jillian Evanko: Yes, there is. So, there is three ways to think about the gross margin on these projects. If you get the process technology and the equipment suite together, that’s the highest gross margin combination and that’s one I commented earlier kind of think of it as 33% to 40% for these projects. That’s at the higher end of that. If you are – braze plus the cold box combination, plus air cooled, then you are in that mid-30s range, kind of low to mid-30s. And if you are strictly air cooleds, you are in the mid-20s. 
Pavel Molchanov: Okay. Very helpful. Appreciate it. 
Jillian Evanko: Thanks. 
Operator: Thank you. And we do have a follow-up from Walter Liptak with Seaport Global. 
Walter Liptak: Thanks. Just a quick follow-up. You mentioned the converts solution. I wonder if you could just help us with that, because the potential impact beyond the first – sort of 2019?
Jeffrey Lass: Yes. So, I would just comment first by saying we are very early in the life of those converts, right. So, while they are currently in the money and we have got to consider the possibility that they would be converted both from how we treat the debt perspective and you will see that when the Q comes out and you look at the balance sheet but also from a dilution perspective. The likelihood of conversion certainly in this year is relatively low. But that being said, we saw a penny of dilution in the first quarter. As we look at the full year, it looks like 10% to 12%. 10% to 12%, sorry. 
Walter Liptak: 10% to 12%. Okay. All right. Great. Thank you.
Operator: Thank you. And we do have a follow-up from Martin Malloy with Johnson Rice.
Martin Malloy : Hello. I was wondering if you might be able to comment about conversations kind of the tone of conversations you are having with the customers on the fractionation and gas processing side for the brazing on the heat exchangers? 
Jillian Evanko: So, we continue to see a healthy market on that side and I would kind of split it between natgas and then the petrochem side of things. Petrochem, as I’ve commented, now it’s – but then I guess two quarters I made the statement that it’s been healthy market. It’s a hard to predict market. It has ups and downs and we’re kind of at the ups right now. And we continue to see that in particular in the Middle East. So that’s been a very healthy and continues to be and I’ll have more color on that as the quarter continues. But certainly out of the gate, the first two weeks of April, we have had very strong order activity on that side of the house. On the natgas processing side, this has been going on. I think a year ago, I commented that I expected that to slowdown a little bit in the second half of 2018 and that didn’t happen. Order activity has been healthy and continues to be and then I did comment that we booked another natgas processing plant equipment order. But I would say that, I think we have to be cautious about the natgas side of the market for us. We have a very conservative growth number in our 2019 outlook, I am talking 1% to 2%. But I think that, at some point here, like in a typical natgas cycle, it will become overbuilt and slowdown. We haven’t heard that yet from the customers. But I think everybody is sharing the sentiment with each other that that could happen here and taper off a little bit as the year goes on and that’s how we’ve designed or forecasting our guide. 
Martin Malloy : Okay. And NGL fractionation, is that included in your comments about gas processing?
Jillian Evanko: Yes. It is. 
Martin Malloy : Okay. Thank you. 
Operator: Thank you. And we do have a question from John Sturges with Oppenheimer. 
John Sturges : Yes, exceptional quarter. I was just curious with the order growth that you are seeing and I know you have a lean process ongoing to expand capacity with the same footprint. Will there be a need for additional capacity build out and financing?
Jillian Evanko: There will not be a need for additional capacity build out. If there were a financing need, it would be for one of the inorganic strategic opportunities if they were to arise. But given the lean actions that we are well underway into – we have plenty of capacity to take on the orders that we’ve described both from the base business, as well as from the big LNG side of things. 
John Sturges : So, SG&A then will be expected to – as I see in the forecast to roughly remain fairly static?
Jillian Evanko: Correct, correct. The incremental SG&A is essentially zero for the order activity and the pipeline that we have. And our goal is actually to reduce SG&A further than what we’ve guided to. 
John Sturges : Thank you very much. 
Jillian Evanko: Thanks, John. 
Operator: Thank you. Ladies and gentlemen, thank you for participating in today’s question and answer session. I would now like to turn the call back over to management for any closing remarks. 
Jillian Evanko: Thanks, Sherrie. We are excited and fully ramped to begin production on the Venture Global and Golar orders and we are confident on the execution across our business on both the top-line and margin opportunities discussed today.  Lastly, I would like to invite our analysts and shareholders to our Investor Day on November 14 at our brazed aluminum heat exchanger facility in La Crosse, Wisconsin. We pick November to make sure you guys really wanted to come. Save the Date invitations will be distributed this afternoon. And thank you all for joining us today. Good bye.
Operator: Ladies and gentlemen, thank you for participating in today’s conference. This concludes the program. You may all disconnect and have a wonderful day.